Operator: Good day, and thank you for standing by. Welcome to Owens & Minor's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Will Parrish, Vice President, Investor Relations.
Will Parrish: Thank you, operator. Good evening, everyone, and welcome to Owens & Minor's third quarter earnings call. Our comments on the call will be focused on the financial results for the third quarter of 2025, all of which are included in today's press release. The press release, along with the third quarter 2025 supplemental earnings slides are posted on the Investor Relations section of our website. Please note that during this call, we will make forward-looking statements that reflect the current views of Owens & Minor about our business, financial performance and future events. The matters addressed in these statements are subject to risks and uncertainties, which could cause actual results to differ materially from those projected or implied here today. Our expectations, beliefs and projections are expressed in good faith, and we believe there is a reasonable basis for them. However, there can be no assurance that our expectations, beliefs and projections will result or be achieved. Please refer to our SEC filings for a full description of these risks and uncertainties, including the Risk Factors section of our annual report on Form 10-K and quarterly reports on Form 10-Q. Any forward-looking statements that we make on this call or in our earnings press release are as of today, and we undertake no obligation to update these statements as a result of new information or future events, except to the extent required by applicable law. In our discussion today, we will refer to non-GAAP financial measures and believe they might help investors to better understand our performance or business trends. Information about these measures and reconciliations to the most comparable GAAP financial measures are included in our press release. Today, I am joined by Ed Pesicka, Owens & Minor's President and Chief Executive Officer; Jon Leon, the company's Chief Financial Officer; and Perry Bernocchi, the EVP and CEO of the company's Patient Direct segment. I will now turn the call over to Ed. Ed?
Edward Pesicka: Thank you, Will. Good afternoon, everyone, and thank you for joining us on the call today. Earlier this month, we announced a definitive agreement with Platinum Equity to sell our Products & Healthcare Services segment, which includes both the Medical Distribution and Global Products divisions. Built on a strong foundation, we believe P&HS will be better positioned to compete in today's evolving market under Platinum Equity's private ownership model. We are also excited to be retaining an equity interest in the business due to Platinum's operational expertise and commitment to building on the customer-centric legacy of the business, which will be critical to the future growth of P&HS. The Owens & Minor name has long been associated with our P&HS business and thus will follow that business in the transaction. As we near the close of the transaction, we are excited that we will be rebranding the public entity to better represent our trajectory going forward. So as I think about the future, following the divestiture of a Product & Healthcare Services, I am thrilled that we can fully align around a single business. Our capital allocation, strategic priorities and execution are no longer split. They are unified around advancing the future of home-based care through Patient Direct. And by retaining our higher-margin Patient Direct business, we will generate improved and more consistent cash flow. Accordingly, we will prioritize debt repayment in the near term to grow our financial flexibility while investing in technology to lower our cost to serve and improve the customer experience. Now I would like to begin by sharing some of the opportunities we're seeing in the market and how these trends we're tracking continue to support our business, a business that we have grown and strengthened over time. Beginning with our acquisition of Byram in 2017, we have spent the past 8 years firmly establishing ourselves as a leader in the home-based care space. During this time, we have expanded and diversified our payer relationships while broadening our product offering and capabilities. This, combined with our coast-to-coast network gives us the reach and infrastructure to provide support for patients across multiple chronic conditions, including diabetes and sleep apnea. These conditions are not only widespread, they're growing, which creates a tremendous opportunity for us to make a meaningful impact. Over 37 million people in the United States have been diagnosed with diabetes and an estimated 96 million adults aged 18 and older are living with prediabetes according to the National Institutes of Health. In order to capture future growth from these tailwinds, we will focus our investments on technology and automation, which will, one, improve the patient's experience; two, allow us to quickly scale our business; three, increase awareness; and four, further reduce our cost to serve. Another core area for us is sleep apnea, where it is estimated that 85 million adults in the United States have some degree of OSA with approximately 70 million of those presently undiagnosed or undergoing the diagnosis process. While the use of GLP-1s has increased in recent years, recent studies published by the Lancet expect the use of GLP-1s to reduce the prevalence of OSA by only 4% over the next 25 years. This is a significant opportunity for us to serve these future patients. It also further demonstrates the value of our preferred provider agreements where new patients are encouraged to begin their lifelong treatment journey with us, supporting better health and a better quality of life. Earlier this year, CMS proposed rules regarding competitive bidding around home-based health care and DME. Since entering the home-based care space, our top priority has always been and will continue to be ensuring patients receive the products and services they need, reliably and on time. While competitive bidding programs have historically raised questions about patient choice and supplier access, we believe our scale, expertise and the quality of the products we distribute positions us as a standout partner in any environment. As we await further guidance from CMS, we are actively collaborating with industry partners and advocacy groups to maintain a strong, transparent dialogue that keeps patient outcomes at the center of the conversation. Before I turn the call over to Jon to discuss our third quarter financial performance and our thoughts on the year-end, I would like to close my thoughts today on where we're going in 2026. With the divestiture of Product & Healthcare Services expected to close in the first quarter of 2026, we are incredibly excited about the future as a Pure-Play business in the home-based care space. As our business grows organically through our preferred provider agreements such as our recently announced agreement with Optum and an aggressive sales strategy, we are diligently focused on controlling our balance sheet through debt paydown, managing operational cost controls and lowering the cost to serve and accelerating our cash flow generation. As we close out 2025 and look forward to 2026, we will begin the next evolution for Owens & Minor, with myself, Jon and Perry Bernocchi, the Executive Vice President of our Patient Direct business, remaining at the helm of our organization. I would like to thank all our teammates who have done a great job of staying focused on serving our customers. With that, I will now turn the call over to Jon to discuss our financial performance in the third quarter and our outlook for the rest of 2025. Jon?
Jonathan Leon: Thanks, Ed, and good afternoon, everyone. We were very excited to announce the signed agreement for the sale of the Products & Healthcare Services segment a few weeks ago. I've had the pleasure of getting to know and working with the Platinum Equity team and absolutely believe they are the right owners for the P&HS business. Further, we're extremely excited about our future as a Pure-Play Home-Based Care company with all the positive attributes that come with it, as Ed detailed. We look forward to having a simpler business model and a cleaner investment thesis. We also believe our ability to dedicate investments solely into the subtractive space will lead to much greater results for all stakeholders. As you will recall from last quarter, the Products & Healthcare Services segment is being accounted for as an asset held for sale discontinued operations. So unless stated otherwise, my remarks today will focus solely on the continuing operations, which, as a reminder, is made up of our Patient Direct business and certain functional operations and identified stranded costs from the separation. Also, please note that any discussion about the financial results and outlook for the business will cover only non-GAAP financial measures. You can find GAAP to non-GAAP financial reconciliations in the press release filed a short time ago and residing on our website. Turning now to the third quarter results. Revenue was $697 million compared to just under $687 million in the third quarter of last year. Last year, in the third quarter, there was a $6 million onetime revenue benefit from a multiyear claims reprocessing matter. This impacted the growth rate by about 80 basis points. In the quarter, there was decent year-over-year growth in the key categories of sleep therapy, ostomy and urology. Diabetes was nearly flat compared to the third quarter of 2024, but showed better year-over-year performance compared to the second quarter. We continue to ramp up efforts to recapture stronger diabetes growth through improved therapy adherence and capturing more customers across our entire ecosystem of both DME and our own pharmacy channel. Overall, we would expect revenue in Q4 to show a similar year-over-year growth rate but be seasonally improved from the third quarter in absolute dollar terms. For the 9 months ended September 30, revenue was nearly $2.1 billion, up 3.4%, with last year's Q3 onetime benefit that I just mentioned, having a 30 basis point impact on growth compared to 2024. Similar to the quarter, growth for the year-to-date period was led by sleep therapy, ostomy and urology as well as smaller categories, including chest wall oscillation, which although is still small, has shown a phenomenal growth and demonstrates our ability to successfully expand our therapy portfolio. Adjusted EBITDA for the third quarter was $92 million compared to $108 million in last year's third quarter. Here, that same onetime $6 million benefit from last year falls straight through to adjusted EBITDA and hindered reported EBITDA growth by nearly 500 basis points. Additionally, product cost increases and higher health benefit costs were only partially offset by lower general costs such as delivery, outsourcing and occupancy expenses. It is important to realize that the third quarter adjusted EBITDA from continuing operations, of course, includes the normal adjustments to EBITDA of interest, income taxes, depreciation and amortization and less than $1 million of exit and realignment charges. So the $92 million earn is an appropriate representation of cash earnings before interest and taxes. This return to a higher earnings quality is quite different from what we've been able to report over the past several quarters. There will certainly be periods of time where there are cash adjustments in the adjusted EBITDA figure, but this is an example of what is meant when we refer to a cleaner and simpler investment story as a result of the divestiture. For the year-to-date period, adjusted EBITDA was $285 million, a reported 6.3% increase compared to $268 million for the 9 months ended in 2024. On the larger year-to-date adjusted EBITDA amount, last year's third quarter onetime $6 million benefit was an approximate 230 basis point drag on the year-to-date growth rate. Third quarter results include $11 million of stranded costs, which is the same as last year's third quarter and the second quarter of 2025. Year-to-date stranded costs were $25 million versus $39 million for the same period in 2024. We continue to believe the annualized stranded costs from the divestiture will be approximately $40 million. Adjusted net income was $0.25 per share, which compares to $0.36 per share in the third quarter of 2024. For the 9 months ended September 30, adjusted net income per share was $0.80 versus $0.64 in the same period last year. We are affirming our guidance for 2025 full year of revenue between $2.76 billion and $2.82 billion, adjusted net income between $1.02 and $1.07 per share and adjusted EBITDA between $376 million and $382 million. Based on my earlier comments around fourth quarter revenue, we expect full year revenue to come in toward the bottom of the guidance range. On the guidance assumption slide that has been posted to the Investor Relations section of our website, you will notice that the interest expense range has increased as a result of a change in the allocation of these expenses between continuing and discontinued operations. We believe the increase in interest expense will be offset by lower stock compensation expense. And as a result, the EPS guidance range is unchanged. Turning to the balance sheet and cash flow. At September 30, net debt was $2.1 billion. Since year-end 2024, the increase in debt is related to the expenses to exit the previously planned Rotech acquisition, which were paid in June of approximately $100 million and more recently, cost to remedy a challenging start-up of a new kitting facility for the Products & Healthcare Services segment, which has led to a temporary inventory imbalance. Work needed for that P&HS kitting facility is ongoing. And as a result, the net debt level at the end of this year is expected to be only slightly lower than at September 30. While detrimentally impacting third quarter cash flow, as shown in the consolidated cash flow statement, the overbought inventory from the start-up will benefit customer demand across the P&HS business lines in the coming months and reduces the cash needed to be spent over that same time period. It's important to recognize that more than 100% of the cash used from operating activity in the 3 and 9 months ended periods was due to the discontinued operations and that continuing operations, inclusive of stranded costs, generated cash from operating activity. In fact, in measuring levered free cash flow as adjusted EBITDA from continuing operations, less CapEx from continuing operations and less all interest costs across both continuing and discontinued operations, there was $28 million of free cash flow in the third quarter and $78 million through the first 9 months of the year. Before taking questions, I'd like to say we're very bullish on the outlook for the Home-Based Care business and recognize that it's a very exciting time in the history of Owens & Minor. We look forward to getting on the road, sharing our enthusiasm and having the market better appreciate the attractiveness of the home-based care space. With that, I'll now turn the call back to the operator for Q&A. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Michael Cherny with Leerink Partners.
Daniel Christopher Clark: This is Dan Clark on for Mike. First one from us. I appreciate all the color you gave on kind of results in 3Q and how you're thinking about the rest of the year. At a high level, how should we think about the durability of these trends going into 2026? And then would love to hear as a follow-up, just kind of how you're selling into the Optum channel is going thus far.
Edward Pesicka: This is Ed. I'll start. Selling in the Optum channel, it's new. We're -- we just recently signed the preferred provider agreement. We're tracking where we expect to track on that, but it's going to create more and more opportunities for us as we move forward. Regarding going forward in '26, we haven't published '26 data or information yet. We'll do that when we get closer to -- when we get -- when we report the full year results for the business.
Jonathan Leon: Yes. I would just add, Dan, there's really not much secular going on that would change those trends. I'll remind you that we discussed in our 10-Q filed tomorrow morning that there'll be a large customer loss in the continuing operations in 2026 that will impact the full year. But absent that, we expect a fairly strong 2026. As I said, we'll put guidance out with the fourth quarter results.
Operator: The next question comes from the line of Kevin Caliendo with UBS.
Kevin Caliendo: I guess it's sort of a follow-up to that in terms of trends. Like how should we be thinking about this company's business or outlook for 2026? Is there anything you can kind of lay out in terms of how the trends are migrating, how we should think about modeling it broadly speaking? I know you're not here to provide guidance, but there's obviously so many moving parts and how to think about run rates or anything like that would be super helpful. And the same sort of around free cash flow for 2025 and maybe how to think about free cash flow trends beyond where we are? I appreciate the color on what the sort of normalized cash flow was this quarter?
Jonathan Leon: Yes, Kevin, it's Jon. I'll take a crack at starting that. So if you think about the trends going forward, the continuing operations, you can see not dissimilar trends on an organic basis as you would normally see. I think we'll have -- absent the exiting one customer, which we have talked about quite a bit. And as I said, there's more detail in our 10-Q, you'll see tomorrow all of that. But absent that, I think we'll have a pretty decent top line growth rate, call it, organically, if you will, absent that loss and some margin improvement and cash flow improvement given the absence of that loss of that contract because that we've talked about before, that is not a margin attractive or necessarily cash flow positive contract that's being lost. So that will certainly improve. From a free cash flow perspective, on a continuing ops basis, as I tried to outline in my prepared remarks, I think you expect Q4 to look a lot like Q3 from a continuing ops basis. I think we will have some nice free cash flow. As we go to '26, again, the trend shouldn't necessarily change. We'll be losing the heavy CapEx burden of that one large contract, but we will have stranded costs that we have to -- we'll begin to actively take out once the divestiture closes. And as well, there's the start of the other divestiture-related costs that we'll be paying really more so in the back half of 2026. So I would expect it to be not terribly dissimilar to '25, recognizing that we'll have a number of those one-off costs around the divestiture, which we have generally sized and are part of the press release we put out around the divestiture itself.
Kevin Caliendo: That's helpful. If I can ask a quick follow-up. The balance sheet -- there's so many moving pieces on here and current debt and timing. I know there's a lot going on here. So it's hard to get a full picture just on this one point in time. But relative post the acquisition or post the divestiture, excuse me, and where you sit, you have obviously talked with your credit agencies and everything else, your lenders. Are there -- is there any risk to covenants or anything that needs to change within those covenants coming out of this post sort of now that you've announced the deal and everything else is done and you're a month past -- or is that all fine?
Jonathan Leon: No, we're good. Not at all. We just actually sent our covenant compliance to lenders and agencies in the last 48 hours. Very comfortable in compliance, and we expect to remain comfortably compliant throughout.
Operator: [Operator Instructions] The next question comes from Daniel Grosslight of Citi.
Daniel Grosslight: I was hoping you could provide a little bit more detail on how these preferred vendor agreements work and as we think about the loss of Kaiser next year, you've mentioned many times that, that's not an attractive piece of business from a margin perspective. But how many of these larger preferred vendor agreements do you think you would need to sign to kind of fill that Kaiser hole on the profitability from a profitability standpoint?
Edward Pesicka: I'll start with that. And then obviously, we'll have Perry add some color onto this too. I mean, I think we did lose the large customer contract. It was a unique contract in that sense. And as Jon talked about it, when we looked at the EBITDA compared to CapEx on it, it was not a very positive cash flow generating business. So that alone will take very, very little additional revenue to pick up and cover that. And again, not to cover the revenue, but to cover the EBITDA and the cash flow. And then in addition to that, Perry, let me let you add additional color on what you're seeing and how you're thinking about those preferred provider agreements and the ramp of them.
Perry Bernocchi: Thanks, Ed. And from a standpoint of the Optum agreement, it's in its early stage. As Ed said, we have 450 forward-facing salespeople that are marketing to over 100,000 potential referral sources within Optum. What it does do is give us a preferred position within the Optum closed network as Apria and Byram as the leading home care home-based DME provider. So that is a go-to-market strategy from a push and a pull perspective within Optum. To Ed's further point, it will take less contracts or less revenue growth to cover the loss of the contract that we are losing, given everything that Ed outlined and Jon outlined. It won't take much for us to replace from a margin -- from a gross margin and an EBITDA perspective.
Daniel Grosslight: Got it. And just as a follow-up, I wanted to dig a little bit more into that issue in P&HS that is weighing on free cash flow. I think you mentioned with the kidney client. Can you just maybe explain that in a little bit more detail? And it is a little bit tough to look at your cash flow and balance sheet given cash flows on a consolidated basis and balance sheet is continued and discontinued operations. So maybe if you can help just parse out where in that -- in the cash flow statement, that headwind sits?
Edward Pesicka: Yes. So I think there's a couple of things. I know Jon in his script, he tried to basically parse out as much as he possibly could, what the free cash flow looks like from a continuing operations basis based on continuing ops EBITDA, the CapEx as well as consolidated interest in the space. This has to do with -- we are opening up a new kitting facility outside of the U.S. There's normal start-up costs associated with that. And the biggest thing was the over acquiring of inventory to make sure we could make the kits and had it on there for scale. It's something that will work itself out through the next quarter plus, but it really is associated with a brand-new start-up of our kitting facility outside of the U.S. to make sure we have the ability to have diversified kitting both in the U.S. and external U.S. for our customers. And the bulk of that will show up in inventory as well as the change in payables we saw in this quarter. So Jon, I don't know if you want to add additional...
Jonathan Leon: No, it's basically right. In my remarks, I mean, what we're doing now is making sure that, that burns off effectively that we serve all the customers' needs in the kitting business. And that has -- that defers other need for other capital across the business, both kitting and otherwise for the rest of the year. So it should burn itself off, but it will take a few months to do so.
Operator: This concludes the question-and-answer session. I'll turn the call to Ed for closing remarks.
Edward Pesicka: Great. Thank you, operator. It's really an exciting period in the history of Owens & Minor. We're incredibly excited about the future as a pure-play supplier in the home-based care. And I look forward to sharing this progress with everyone early next year. So thank you, everyone.
Operator: This concludes today's conference call. Thank you for joining. You may now disconnect.